Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2025 Cabot Corporation Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steve Delahunt, Vice President, Investor Relations and Treasurer. Please go ahead.
Steven J. Delahunt: Thank you, Jill, and good morning. I would like to welcome you to the Cabot Corporation Earnings Teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Executive Vice President and CFO. Last night, we released results for our third quarter of fiscal 2025, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available on the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the press release we issued last night and in our 10-K for the fiscal year ended September 30, 2024, and in subsequent filings we make with the SEC, all of which are available on the company's website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. The non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean, who will discuss the third quarter highlights and some strategic highlights. Erica will review the third quarter financial results, along with the business segment results and provide an update on our M&A and capital allocation priorities. Following this, Sean will discuss our outlook for fiscal 2025 and then open the floor to questions. Sean?
Sean D. Keohane: Thank you, Steve, and good morning, ladies and gentlemen, and welcome to our call today. I am pleased with our strong third quarter results, which were a bit better than our expectations. We delivered Q3 adjusted earnings per share of $1.90, which was in line with our second quarter results and down 1% as compared to the same period in the prior year. Overall, we continue to execute at a high level and operate with agility in this dynamic and challenging macroeconomic environment. While both segments were impacted by 8% lower volumes year-over-year given the challenging macroeconomic backdrop, we largely offset these impacts through strong network optimization, cost management efforts and continued execution of commercial excellence actions. Looking at the segments, we delivered solid EBIT results from Reinforcement Materials, which was down 6% year-over-year in the third quarter and strong EBIT results in Performance Chemicals, which was up 4% as compared to the third quarter of the prior year. The Cabot portfolio has strong cash flow characteristics, and this continued strength was exhibited in the quarter. We generated $249 million of operating cash flow in the third quarter, which funded our capital expenditures and enabled $64 million of cash returned to shareholders through a combination of share repurchases and dividends. During the quarter, we also made important progress on key elements of our Creating for Tomorrow strategy. I'll spend a few minutes now highlighting 4 accomplishments that are important elements of our strategy for long-term shareholder value creation. Last night, we announced that Cabot has entered into a definitive agreement to acquire Bridgestone's reinforcing carbons plant in Mexico for $70 million. This manufacturing facility is located in close proximity to Cabot's current reinforcing carbons facility in Altamira, Mexico and strengthens our long-standing partnership with Bridgestone through the long-term supply of reinforcing carbon products from this plant. The facility also has the capacity to manufacture additional reinforcing carbons, providing flexibility to support broader customer needs and future growth opportunities for Cabot. Furthermore, it underscores Bridgestone's confidence in Cabot as a trusted partner with a proven track record of delivering high- quality, reliable supply of reinforcing carbon products. The transaction is expected to close within 3 to 6 months and to be accretive in the first year. This is an example of how we are deploying our strong cash flow to fund an attractive acquisition that strengthens our portfolio, drives incremental growth and is accretive to earnings. Sustainability is at the heart of our purpose and integral to our strategy of creating value for our customers. Given that, we are especially proud of the various forms of external recognition that we have received over the years for our sustainability leadership. At the top of that list is the platinum rating we received from EcoVadis for the fifth consecutive year. EcoVadis is the world's largest and most trusted provider of business sustainability ratings with more than 150,000 rated companies. A platinum rating is the highest level of achievement and places Cabot among the top 1% of companies in the manufacturing of basic chemicals. This prestigious recognition underscores Cabot's commitment to transparency and provides our customers with visibility into our sustainability performance. In Battery Materials, we continue to execute well against our growth strategy to build a leadership position. Through the first 3 quarters of fiscal year 2025, we have increased contribution margin by 20% compared to the same period in fiscal year 2024. Our strategy is centered around the view that the battery industry is bifurcating with differences between China and the rest of the world. In China, growth is high with EV penetration now exceeding 50% of annual vehicle sales. The environment across the EV value chain is competitive, and our segment strategy -- segmentation strategy is focused on differentiation based on blends of conductive additives and targeting those customers that serve the higher-value segment of the domestic economy and the export market. Outside of China, we are focused on building incumbent positions with the battery customers that are establishing manufacturing plants in the Western economies. These customers value our breadth of technology as we are the only global player that can produce both conductive carbons and carbon nanotubes as well as blends. Additionally, our global footprint is an important feature to address their desire for a local supply chain and strong regional application and sales support. While the build-out of battery production in North America and Europe is developing more slowly than originally anticipated, it is expected to grow at a compound annual growth rate of approximately 40% through 2030 and represent 25% to 30% of global production by that date. Our strong reputation, breadth of product offering, global footprint and track record with the global battery producers set us up well to build an incumbent position in these geographies. We continue to believe these geographies will become large over time, driven by penetration of EVs and hybrid vehicles as well as the growth of energy storage batteries for data center and grid applications. This application remains an important strategic priority for us, and we intend to continue to invest prudently to build long-term value. Moving now to strategic growth activities in other areas of Performance Chemicals. You will recall that we highlighted a number of important applications within this segment during our last Investor Day. Two of these priority areas are focused on the infrastructure and alternative energy sectors. Both of these sectors are growing at multiples of GDP, supported by strong macro tailwinds. In the infrastructure space, the wire and cable application is experiencing strong growth driven by electrical grid renewal, growth of power generation demands due to data centers and the development of alternative energy sources such as wind and solar. Our conductive carbons are a critical material in the performance of power distribution cables, and Cabot has built a strong reputation for quality, performance and reliability. On a year-to-date basis through Q3, our volumes in this application have grown by 15% compared to the same period last year. In the alternative energy space, Cabot is a leading provider of treated fumed silica for use in adhesive formulations that are critical in the manufacturing of wind turbine blades. Growth in this application is being driven by investments in alternative energy generation. And through the first 3 quarters of fiscal year 2025, our volumes have increased by 8% compared to the same period last year. Our strong product offering, global footprint and reputation for performance and quality have resulted in Cabot achieving a strong incumbent position with many leading customers. I am very pleased with our strategic developments, and I'm confident that these pursuits will continue to build our long-term potential for sustained value creation. I will now turn it over to Erica to discuss the financial results for the quarter. Erica?
Erica J. McLaughlin: Thanks, John. I will start by discussing results for the company and then review the segment results. Adjusted earnings per share for the third quarter of fiscal 2025 declined 1% from $1.92 in the third quarter of fiscal 2024 to $1.90, driven by EBIT growth from the Performance Chemicals segment, partially offset by a decline in the Reinforcement Materials segment. Foreign currency impacts were minimal for the quarter and the operating tax rate remained at 28% Cash flow from operations was strong at $249 million in the quarter, which included a working capital decrease of $101 million, driven by lower accounts receivable and inventory balances. Discretionary free cash flow was $114 million in the quarter. The cash balance at the end of the quarter was $239 million, and our liquidity position remains strong at approximately $1.4 billion. Capital expenditures for the third quarter of fiscal 2025 were $61 million, and we continue to expect between $250 million to $275 million of capital spending for the fiscal year. Our strong cash flow performance year-to-date enabled us to continue to pay our competitive dividend and repurchase shares. During the quarter, we used $24 million for the payment of dividends and $40 million for share repurchases. Our debt balance was $1.2 billion, and our net debt-to-EBITDA was 1.3x at the end of June. The strength of our cash flow and balance sheet position us really well as we look ahead to continue to invest for growth, complete strategic acquisitions and return cash to shareholders. The year-to-date operating tax rate for fiscal 2025 was 28%, and we continue to anticipate our operating tax rate for fiscal 2025 to be in the range of 27% to 29%. Now moving to Reinforcement Materials. During the third quarter, EBIT for Reinforcement Materials was $128 million, which was a decrease of $8 million as compared to the same period in the prior year. The decrease was primarily driven by lower global volumes, which were down 8% year-over-year due to lower customer demand driven by uncertainty from tariffs and a weaker global macroeconomic environment. Regionally, volumes were down 11% in Asia Pacific and 9% in the Americas, while volumes in Europe were up 4%. The lower volumes were partially offset by continued optimization and cost reduction efforts in the segment. Looking to the fourth quarter of fiscal 2025, we expect a modest sequential EBIT decline in the segment as higher volumes expected in Asia are offset by higher costs anticipated sequentially. This expected EBIT would be slightly higher than the prior year fourth quarter EBIT, driven by our ongoing optimization and cost reduction efforts. Now turning to Performance Chemicals. EBIT increased by $2 million in the third fiscal quarter as compared to the same period in fiscal 2024. The increase in the third quarter was due to higher gross profit per ton, partially offset by lower volumes. Global volumes were down 8% year-over-year, primarily due to lower customer demand driven by uncertainty from tariffs and the weaker global macroeconomic environment, particularly from lower demand in auto-related applications. The improvement in gross profit per ton was driven by continued optimization and cost management efforts in the quarter. Looking ahead to the fourth quarter of fiscal 2025, we expect Performance Chemicals EBIT to be lower sequentially and relatively consistent with the prior year fourth quarter. The expected sequential decline is driven by seasonally lower volumes and higher anticipated costs in the fourth quarter as compared to the third quarter. In summary, for the company, we expect our total segment EBIT for the fourth quarter to be largely consistent with the prior year fourth quarter. However, we expect a higher tax rate in the fourth quarter of fiscal 2025 as compared to the fourth quarter of fiscal 2024. Sean talked earlier about our agreement to acquire Bridgestone's reinforcing carbon plant in Mexico. This is a good example of the type of acquisition that aligns well with our strategy, I thought I would take a minute to remind you about our M&A priorities that we previously discussed at our 2024 Investor Day. As we think about how M&A fits into the strategy, we look for acquisitions that one, strengthen our business competitive position; two, drive growth and our margin enhancing to the company; and three, provide attractive economic returns in a 3- to 5-year time frame. These opportunities include capability and capacity investments in high-growth areas of the company, including in the areas of batteries and conducted materials. We will look to increase scale, geographic access and participation across our carbon black and silica franchises, and we will also target technology investments in high-growth areas. With our strong operating cash flow performance and low net debt-to-EBITDA ratio, we believe we're well positioned to leverage various opportunities for the future, and we expect to continue our balanced approach to capital allocation. With our disciplined approach to M&A opportunities, we will look to execute strategic acquisitions to improve scale, capabilities and participation across our key end markets. The agreement to acquire the plant in Mexico is a great example of the type of acquisitions that make strategic sense and are attractive financially. We will also prioritize high confidence, high growth projects. We have a number of exciting organic growth opportunities in our pipeline, and we think these projects offer a compelling business case to grow the company. We expect we'd be able to fund these investments with our strong operating cash flow. During fiscal 2025, we have completed our new unit in Indonesia for reinforcing carbons as well as an expansion of CNT capacity in China for battery materials. In addition to these investments, we expect to maintain a competitive dividend yield. We increased the dividend by 5% in May of this year, and that we would expect that we would continue to increase the dividend in line with earnings growth. With the strength of our operating cash flow, we have also continued to repurchase shares. The Board increased the share authorization in the first fiscal quarter to 10 million shares and we expect to repurchase between $150 million to $200 million of shares in fiscal 2025. I will now turn the call back over to Sean to discuss the fiscal year outlook.
Sean D. Keohane: Thanks, Erica. I am pleased with another quarter of strong operating results in what was a very challenging environment. Based on the third quarter performance and our outlook for the fourth quarter, we are reaffirming our expected full year outlook of adjusted earnings per share to be in the range of $7.15 to $7.50. This range reflects year-over-year EPS growth for fiscal 2025 in what is a very weak environment driven by the uncertainty from tariffs and soft global macroeconomic conditions. At current demand levels, we would expect to be in the middle to lower end of the range. If the more recent tariff announcements were to translate into higher demand in the fourth fiscal quarter, we'd expect to be higher in the guidance range. . To address the challenging environment, our efforts are intensely focused on execution of our operating platform of commercial and operational excellence. This includes working closely with our customers to understand how their production might shift as a result of tariff policies and offering volume support from our expansive global plant network. We have also implemented a range of countermeasures across our global network. These efforts include commercial actions to drive product and grade mix benefits as well as operational actions to optimize our assets and supply chain costs. We also remain on track with the fixed cost and procurement initiatives we discussed last quarter. Our outlook for cash flow remains strong, and we will continue to deploy capital within our balanced framework. In addition to funding targeted organic growth projects and strategic M&A we expect to continue to return cash to shareholders through a competitive and growing dividend and remaining active in the share repurchase market. As we have in the past, you can expect us to be excellent stewards of cash, driving a disciplined and balanced approach to capital allocation. Overall, I'm very pleased with how the company is responding in a very challenging environment. I am confident in our strategy and the execution capability of our team and remain excited about the long-term growth prospects of our portfolio. Thank you very much for joining us today. And I will now turn the call over for our Q&A session.
Operator: [Operator Instructions] Our first call comes from the line of John Roberts with Mizuho Group.
Saurabh Dhir: This is Saurabh Dhir from John Roberts line. I just want to understand the relationship between the tariffs and the demand in the North American region. At what tariff rates on the Southeast Asian countries would you expect? And then what do you think will be the tariff rates when the domestic production will become comparative with the imports?
Sean D. Keohane: Sure. Thanks for the question on tariffs as it relates to tires. Obviously, a very dynamic picture, one that's moving constantly. But let me try to provide a frame for where we are right now and then at a high level how we think about it. So for passenger car and light truck tires, there are a range of different levels that are out there right now. So let me sort of walk by major region. I think in Southeast Asia, passenger car tires generally have tariffs in the 19% to 29% range. So this would include Thailand, Vietnam, Indonesia, these have been announced. In addition, there are company-specific antidumping duties and countervailing duties that may apply. So in certain cases, the number is higher than that 19% to 29% when you add the antidumping duties on top of tariffs. In terms of China tariffs on China, passenger car tires to the U.S. are approximately 70% which is the main reason why we see tire imports coming from Southeast Asia, not China into the U.S. And in addition, there are antidumping duties on us and countervailing duties on some of those tires as well. So on balance, that number is quite high. And therefore, the flow of Chinese tires to the U.S. is almost 0. In terms of tariffs as it relates to Mexico and Canada, tires at this point as well as carbon black continue to be covered under the USMCA trade agreement. They're compliant with that, so therefore, remain at 0. So it's really a question of where our tariff and antidumping duty levels against Southeast Asian and Chinese tires principally. So I think directionally, you can see that tariffs and antidumping duties will likely have a positive effect on the market, therefore, kind of enhancing the competitiveness of local production. Exactly where tariffs end up is -- remains to be seen. But I think directionally, it will be supportive and make local production more competitive. But again, the magnitude and timing are a bit hard to predict. I think in addition to this, it's encouraging to see some signs that the global tire majors are responding to the increased exports from Chinese OEMs that operate in ASEAN region by more aggressively defending and reinvigorating their Tier 2 brands recently Bridgestone unveiled the strategy to revitalize their Tier 2 Firestone brand, which I think really is illustrative of a strategy to defend the Tier 2 brands more aggressively. And Michelin on their call commented that they expect Tier 3 tire imports to reduce in the second half of 2025. So I think -- clearly, I think the trade actions and some specific targeted actions by the global tire majors to defend the Tier 2 brands would likely have a directionally positive impact on local production. But again, where things settle out remains to be seen.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan.
Jeffrey John Zekauskas: In the Americas, was there a difference in your volumes in North America and South America or however you divide it?
Sean D. Keohane: Yes, sure. Thanks, Jeff. So in Reinforcement Materials, volumes in the Americas were down 9% year-over-year in the third quarter. Again, we sort of see this as largely driven by uncertainty from tariffs and weaker global macro environment. And we point to that because if you look at tire imports, they've largely leveled off in North America in May year-to-date and actually declined in South America, May year-to-date. So we sort of look at that and think that the declines are largely -- our market declines are largely in line with the market and driven by the uncertainty. In terms of specifically the difference between the U.S. and South America. Yes, they are different and similar to the prior quarter as we discussed, where the volumes in South America were a bit weaker in part the weak market, but also some volume losses in contract season last year. We commented on that last quarter. So that continued.
Jeffrey John Zekauskas: Okay. And how is doing business at Altamira different than it was before if it is different? What is it like now to produce and ship from that plant have business conditions changed in the tariff regime that we're in?
Sean D. Keohane: Yes. So the tariff regime has not changed anything as it relates to tire production or carbon black. So tires continue to be covered with no tariffs because they're USMCA compliant. And then we are the sole manufacturer in Mexico today. And again, our customers there are -- for carbon black are largely Mexican located tire plants. So we don't really move carbon back too much into the U.S. It's basically for local product there. But there's no change in the tariff situation. They continue to be 0 tariffs because they're covered under USMCA. And that's our expectation as we move forward here. And in terms of the specific transaction to acquire this, as Erica highlighted, is it's an attractive one for us in many ways. Obviously, we have a plant in very close proximity that we've operated successfully for a long time, and that it further builds our strategic position with Bridgestone and I think it's an expression of their confidence in Cabot. And so building on that makes a lot of sense. And we expect that this business will be attractive financially, in year 1 we would expect annual EBIT of around $10 million and year 2, EBIT of approximately $15 million with EBITDA in year 2 of approximately $20 million. So we see it as a financially attractive acquisition in addition to all the strategic benefits and our confidence in operating there is high. We've been there for many, many years.
Jeffrey John Zekauskas: Maybe lastly, have negotiations for carbon black prices in North America begun at all yet? Or is this the year where you expect them to begin later in the year?
Sean D. Keohane: Yes. We're in the early stages of contract negotiations, Jeff. So I would say the timing of things is progressing in a typical fashion. Usually starts in the summer and progresses through the fall.
Operator: The next question comes from the line of Josh Spector with UBS.
Christopher Silvio Perrella: It's Chris Perrella on for Josh. Just a follow-up on that. Given the amount of the rise in tire imports ahead of the tariffs this year. How large is the inventory overhang do you think in the market? And at this point, would tariffs have an impact on demand in the last 2 months of the fiscal year for you at this point? Just trying to gauge potential upside and what the moving parts would be there.
Sean D. Keohane: Yes. So in terms of inventory levels, we don't see them at -- for tires, for example, if we look at the commentary from the various tire makers. It seems like they're largely in balance when you look at what the global Tier 1 tire makers are saying with the exception that they are identifying in some of the more budget brands, levels might be a bit elevated. But where that commentary exists, they seem to believe that will be brought back down to more normal levels here in this current quarter. So it doesn't seem based on commentary to be a significant issue naturally with all of the trade dynamics going on. There's some volatility there, but it seems to have -- seems to be settling down. So I would say that's where things are, our best view of where tire inventories are. Certainly, on the tariff front, again, as I commented earlier, it remains a very dynamic situation. But directionally, I think we would expect tariffs and any additional antidumping duties that are in place would directionally make it more supportive for local production, local production being more competitive. But again, the magnitude and timing are certainly hard to predict.
Christopher Silvio Perrella: I appreciate that, Sean. Is that more of a calendar 2026 benefit then potentially? And then just a quick follow-up on Brazil. If they raise countervailing duties potentially on tires, how much of your customers, not necessarily you, but would be shipping tires out of North America or out of the U.S. down to Brazil?
Sean D. Keohane: Yes. So I guess, back on the first part of the question, again, the timing is and the magnitude on tariffs and when the impact from that would flow through demand is definitely hard to predict. But again, directionally, I would say, supportive. But probably later this year, 2026 is -- later this year and into 2026 is when I would expect to see the result of those settle out as they get processed by the market and customers make adjustments there in their supply chain planning, I would say. And at the same time, as I said, I think some of the global majors are certainly working hard and investing to revitalize their Tier 2 brands. And to compete more aggressively to defend that share and exactly the timing of how that plays out is a little bit again, difficult to project. In terms of the Brazil situation, so we do have, depending on how duties settle out between U.S. and Brazil. There are tire makers that do produce products there and ship into North America. So if the ultimate tariff regime in that case makes that less competitive, what we see is that our global customers then look to try to rebalance their tire production. And so many of the customers that produce there also have production assets in places like Mexico and other countries where they could more cost effectively land product into the U.S. So we'd expect a little bit of rebalancing naturally. But again, most of the major tire makers have a broad plant network.
Operator: [Operator Instructions] Our next question comes from the line of Laurence Alexander with Jefferies.
Laurence Alexander: Just on the network optimization initiatives, can you give a bit of clarity on how -- what that means for your operating leverage if and when demand accelerates? Do you have to give some of that back? Or should this lead to a higher incremental margin than historically?
Sean D. Keohane: Yes. So a couple of comments here, Laurence, and then I'll ask Erica, if she wants to add anything to it. I think our network optimization efforts are very broad. So when we use that term, we're employing levers that do things to drive a more advantageous product mix. But also we look at our production circuit and try to marry up demand on the most competitive assets with the best delivered cost economics. And so that optimization is something that we're always pursuing. I would say, in addition to that, given the weak macro environment and all the uncertainty from the tariff discussions, we're working hard on the cost and procurement savings front. And all of that is showing through into what I think are quite strong results given the weak demand environment. So the network optimization efforts are really quite broad and part of our overall efforts around both commercial and operational excellence. In terms of the operating leverage question, Erica, maybe I'd ask your comments there.
Erica J. McLaughlin: Sure. So Laurence, I think last quarter, we talked about fixed cost and procurement initiatives that we're doing that we had targeted about $30 million for the year. I'd say we're trending a bit ahead of that, as of now. And some of those are structural. I think we talked about this last quarter like restructuring actions we've taken. So those would continue. Some are more timing. So the timing of travel or third-party expenses, which could come back if we see the situation improve in terms of the macro. So I'd say it's a mix. But I don't think it would impact -- it would be favorable to operating leverage. It would not be a negative in any way.
Operator: We have a question from Jeff with JPMorgan.
Jeffrey John Zekauskas: I think through the 9 months, your unallocated corporate costs were $39 million versus $51 million, so they were $12 million better. How did you achieve that? And sort of how would you describe the $12 million improvement in that line?
Erica J. McLaughlin: So Jeff, it's Erica. I would say these are part of some of the cost reductions we're doing. So these would be a mix of items that would include head count related actions, it would include things like timing or lower third-party spend. And so that -- those are the actions we've been taking to reduce cost. So you're right, we have been trending about $13 million per quarter so far this year. We would expect September to go to more $16 million to $17 million, so a little bit more similar to last year. Again, this is just timing of certain corporate costs in the quarter. But these cost savings, like I said, are a mix where some are structural, they would continue and some if the environment improves, you would probably see some of those costs come back in.
Jeffrey John Zekauskas: And then for Sean, in the -- when you look at carbon black volumes over a multiyear period, I think in the Americas, they were negative 6% in 2023 and negative 6% in 2024, and they look like they're going to be negative 6% again. And that seems to be a weaker region for you than either EMEA or Asia. Can you talk about why the volume pattern over a multiyear period has been as weak as it's been and why it's weaker than the other geographies for Cabot?
Sean D. Keohane: Yes. I think the primary driver there, Jeff, is the more recent over the last couple of years, elevated level of tire imports. And so that has certainly impacted the region and had an effect of depressing the local production levels. So that's the primary driver there. I think the biggest -- that's the biggest driver for sure. So as we think about how things move forward here, I think it depends on the 2 key points. One is where ultimately do tariff levels and antidumping duty levels end up. They're certainly directionally supportive to make local production more competitive. So I think that's positive. And then you do see efforts by some of the global majors that have shed some share at the expense of tire inputs you see them taking more concerted efforts to revitalize their Tier 2 brands and that simply a focus on the larger rim size, higher end part of the market is not sufficient that you have to really address the more base part of the business as well. And so I think that's positive. So the combination of those 2 factors, we would view as directionally favorable. Again, the timing and magnitude of how this all settles out is a bit hard to predict, but that's actually the story there.
Jeffrey John Zekauskas: So what we should infer from your commentary is that utilization rates in carbon black in the Americas have moved lower over a multiyear period.
Sean D. Keohane: Well, certainly, utilizations are a function of supply and demand. And so the supply side and the western mature markets, there's been no material adds. So nothing's changed there. And then on the demand front, it's certainly a volume impact from tire imports. But at this stage, we're starting to see that settle out and the expectation as we go forward and look at commentary from some of the tire majors is they expect that the tire import levels will begin to turn here. And so I think it's really a question of how ultimately the trade situation plays out in the coming months.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Sean Keohane for closing remarks.
Sean D. Keohane: Great. Thank you very much for joining us today, and we look forward to speaking with you again next quarter, and thank you for your support of Cabot. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.